Operator: Good day, ladies and gentlemen, and welcome to the Fourth Quarter Dice Holdings, Inc. Earnings Conference Call. My name is Caris and I will be your coordinator for today. [Operator Instructions] As a reminder, this call is being recorded for replay purposes. And I would now like to hand the call over to your host for today, Ms. Jennifer Bewley, Vice President, Investor Relations and Corporate Communications. Please  proceed, ma'am. 
Jennifer Bewley: Thanks, Caris, and good morning, everyone. With me on the call today is Scot Melland, Chairman, President and CEO of Dice Holdings; as well as Michael Durney, Senior Vice President of Finance and Chief Financial Officer.
 Please note, this morning, we issued a press release describing the company's results for the fourth quarter and full year 2011. A copy of that release can be viewed on the company's website at diceholdingsinc.com. In fact, we routinely post all material information to our website and would encourage all investors to visit the site for more information on the company.
 Before we begin, I'd like to note that today's call includes certain forward-looking statements, particularly statements regarding future financial and operating results of the company and its business. These statements are based on management's current expectations or beliefs and are subject to uncertainty and changes in circumstances. Actual results may vary materially from those expressed or implied by these statements herein due to changes in economic, business, competitive, technological and/or regulatory factors.
 The principal risks that could cause our results to differ materially from our current expectations are detailed in the company's SEC filings, including our annual report on Form 10-K in the sections entitled Risk Factors, Forward-looking Statements and Management's Discussion and Analysis of Financial Condition and Results of Operations. The company is under no obligation to update any forward-looking statements except as required by federal securities laws.
 Today's call also includes certain non-GAAP financial measures, including adjusted EBITDA, adjusted EBITDA margin and free cash flow. For details on these measures, including why we use them and reconciliations to the most comparable GAAP measures, please refer to our earnings release and our Form 8-K that has been furnished to the SEC, both of which are available on our website.
 Now I'll turn the call over to Scot. 
Scot Melland: Thank you, Jennifer. First, let me welcome all of you to the Dice Holdings Fourth Quarter 2011 Conference Call. I'll start today by discussing our fourth quarter performance, including our thoughts on the online recruitment market and key trends in our verticals. Then I'll hand it over to Mike Durney, our CFO, to take you through our financial performance. And finally, I'll make a few closing remarks and then we'll open up the call for some questions.
 The fourth quarter closed out a terrific year for our company, a year in which each of our career sites achieved record revenues and as a company, we achieved record revenue and profitability. This is no easy task in an industry like ours that is constantly changing, and I think it demonstrates the value our services deliver for recruiters and hiring managers. We give our customers unmatched reach into the communities we serve, and we do it in an efficient and cost-effective manner. And they are rewarding us with more of their business.
 In Q4, Worldwide revenues grew 25% year-over-year to $47.4 million, customer billings increased 15% year-over-year and profitability grew again with adjusted EBITDA up 30% to just under $22 million. All in all, another solid quarter performance for Dice Holdings.
 This past year, we also made great progress towards our goal of doubling the size of our company from 2010 to 2014, with revenue growth for the full year of 39%. In 2012, we expect to continue that progress and are focused on reaching that goal.
 Now let's take a look at our major brands. At Dice, we continue to see strong demand for tech professionals across all skill categories in the United States. Today, recruitment activity is much more of a market-by-market story than it was 6 months ago. Job postings were up 12% year-over-year on Dice, with stronger demand in the major tech centers of the country, like Silicon Valley, Boston, Seattle and Portland, and slower demand in markets like Washington, D.C. and New York City, which is likely due to the uncertainty surrounding defense spending and the financial services industry. The number of résumés viewed also increased year-over-year during the quarter even when you account for the additional customers we've served, which shows that overall recruiting activity on Dice.com is quite healthy.
 During the quarter, we also continued to grow our tech community. Traffic remains solid at more than 2.1 million unique visitors per month during a seasonally slower quarter, and our résumé database grew again with new résumés posted up 8% year-over-year, putting our searchable collection at well over 1.3 million technology professionals.
 In January, we also introduced our new Dice Talent communities. These new content and discussion forums are built around specific areas of technology, like mobile development, Android, game development, Silicon Valley and other community topics. Each of these communities is curated by an industry expert and covers industry trends, best practices news and of course, job hunting. These talent communities are another way we are serving the needs of tech professionals and pursuing our long-term strategy of making our services more valuable to our users in their day-to-day work lives.
 So as we look forward into 2012, given the tight labor market we have in technology with unemployment hovering around 4%, we expect to see solid demand for technology talent across the market, and we expect to continue to grow our customer base through further market penetration.
 Turning to financial services. Recruitment activity continues to moderate in the fourth quarter in an uncertain environment. Banks and financial institutions are recruiting but with more of a focus on replacement hiring rather than growth for new hires. The slowdown in recruitment activity is most acute as you might expect in Continental Europe and the Middle East, especially in countries like France and Italy. But its impact is being felt in every market around the globe.
 On the job seekers side, we continue to grow the eFinancialCareers community. In Q4, eFC averaged nearly 1.3 million unique visitors per month, up 15% year-over-year, and the searchable résumé collection grew to more than 850,000 worldwide. It's clear that we are succeeding in growing the awareness and usage of eFinancialCareers in all of our markets.
 Looking forward into 2012, we believe that this lower level of recruitment activity will continue until there is more clarity on some of the issues impacting financial services. And we will continue our investment in expanding eFC's capabilities to further penetrate the opportunity we have around the world.
 Moving on to the Energy segment. The oil and gas recruitment market is very strong. And according to the BLS, 2011 turned out to be the best year for job growth in that industry in the past decade. We continue to build Rigzone's brand awareness and usage worldwide. Unique visitor traffic was up more than 50% year-over-year in Q4, and our searchable résumés also increased significantly in each of our markets.
 I'm very happy to report that we completed the integration of WorldwideWorker and Rigzone into a single service under the Rigzone brand in late January. This creates the leading global service in oil and gas online recruiting, with strong reach in each of the major energy-producing regions. By going to market with one brand and one community and one sales and support organization, we give our customers a much more efficient advertising and recruiting platform for the global energy community.
 Looking forward into 2012, we believe that the combination of the attractive oil and gas prices and the dearth of skilled talent across the industry will drive job growth in a very active recruitment market in oil and gas. And we intend to make the most of that market by making investments in sales, product development and editorial to build out the business.
 So overall, 2011 was an exceptional year for our company, both in terms of financial performance as well as execution on our long-term strategy. We made great progress growing our customer and user bases, as well as improving our services to be the best in each of our vertical markets.
 So with that, let me turn it over to Mike for more on the financials. 
Michael Durney: Okay. Thanks, Scot, and thanks, everyone, for joining us today. A record financial performance in the quarter and the full year reflects strong execution by our global businesses and market share gains. We've continued to make strategic investments across each of our businesses, and while doing so, have started to return cash to shareholders. 
 Summarizing our results for the fourth quarter on a year-over-year basis, total revenues grew 25% to $47.4 million, adjusted EBITDA grew 30%, net income increased 82% to $10.5 million, resulting in $0.15 in earnings per diluted share, which was an increase of 88%. Billings increased 15% and deferred revenue totaled nearly $61 million at year end, an increase of 24% from December 31, 2010. 
 So let's move on to the segments and look at the quarterly results. Revenues in the Tech & Clearance segment increased 25% to $31.1 million, led by Dice with 26% year-over-year growth and ClearanceJobs had 18%.
 So looking at some of the metrics. The average number of recruitment package customers at Dice during the fourth quarter was 8,300, up slightly from the third quarter and up 16% from the fourth quarter 2010 average. The Dice business ended the year with 8,100 recruitment package customers, of which about 7,200 were under annual contract. The seasonal reduction we see annually right at the end of the year was slightly less than we've seen in previous periods. And while the total count was lower at December 31 than at September 30, the number of customers under annual contract increased sequentially during the fourth quarter. And while it takes time to get prospects and customers buying in the new year, we've continued to add net recruitment package customers in January and are back on our customer acquisition path. We have more customers today than we had at September 30.
 Average revenue per customer increased about 1.5% sequentially to $951 per month per customer, another record for the company. This was largely driven by service-level upgrades from renewing customers and by renewing customers at slightly higher rates. In Q4, the renewal rate on annual contracts was 73% for the Dice business, slightly up from our experience in Q3. And we had approximately 1,700 contracts up for renewal in the quarter.
 Moving on to the Finance segment, revenue for the eFinancialCareers business was up 15% year-over-year to $11.1 million. Currency translation had little impact to revenues in the quarter. The year-over-year results reflect the strength of the financial services market in the second half of 2010 and first half of 2011. So despite the drop-off in activity in the second half of the year, we still had mid-double digit growth or even afterwards [ph]. 
 While the issues impacting financial services may be initiated in specific markets, those issues have a global impact. For instance, the Asian market is still pretty good, but the performance is impacted by multinationals reducing their recruitment activity or delaying decisions across the board.
 Revenue growth across the regions was relatively consistent. In U.K., our largest market was up 13%; Continental Europe was up 16%; Asia Pacific, 21%; and North America, 12%. Each of those measured in its originating currency. In terms of customer activity in billing performance, Continental Europe was certainly the worst performer of the regions in Q4.
 Switching over to Energy. Revenues were up 56% to $4.2 million in the fourth quarter. Site advertising and new customer acquisition for the career center were the primary drivers of the substantial increase. And while we see some of the same customer patterns at Rigzone as we see in the Dice business at the end of the year, we had a fairly significant increase year-over-year in career center usage, and the amount we generated per customer increased as well.
 So to wrap up the segments. Growth was led by Dice and the Energy business, with financial services trailing. 
 As for profitability, adjusted EBITDA grew 30% to $22 million, and margin of 46%. Fourth quarter typically produces our highest profit margins of the year as we generally spend less in marketing during the quarter. And net income increased 82% to $10.5 million or $0.15 per share. 
 Moving over to the balance sheet. Deferred revenue totaled nearly $61 million at year end, an increase of 24% from the prior year end and up slightly from the end of September. Billings, which is the driver of deferred revenue, increased 15% year-over-year in Q4. 
 So while we generally don't comment on segment billings, given the uneven results across the segments, I want to provide some color to the sales performance in the quarter. Tech & Clearance billings were up about 20% year-over-year, Finance was roughly flat and Energy was up a little more than 10%. 
 The Energy growth rate was driven by 2 things: first, the timing of the integration of WorldwideWorker and RigZone. There were a number of clients at WorldwideWorker up for renewal who waited to buy until we had combined the sites. And two, it took longer to close a handful of large annual advertising deals, many of which had significant increases in their commitments. Several of those had been closed and billed in Q4 2010 to the 2011 year, but didn't close this year until January for the 2012 year. Each of those had higher gross amounts than the previous contracts. So based on January activity, we'll continue the significant growth rate in Energy in 2012.
 Net cash from operations in Q4 was $9 million, including the impact of $4.7 million at the Rigzone earn-out. The earn-out of $12.7 million was paid in October, which completed that transaction. From a GAAP standpoint, the cash flow treatment of that payment is split, $8 million being the original estimate is in financing and the $4.7 million subsequent increase is in operating cash flow.
 When you add that back and then take out capital expenditures, which were $2.5 million, Q4 free cash flow was slightly more than $11 million. And for the full year, free cash flow topped $61 million.
 We repurchased approximately 1.4 million shares of common stock at an average of $8.17 per share in the fourth quarter, for a total of $11.6 million. Since the authorization in August, the company has repurchased 2.3 million shares, returning about $20 million to our shareholders.
 We ended the year with more than $60 million in cash and marketable securities, the majority of which is held outside the U.S.
 So in conclusion, we delivered strong financial results for the fourth quarter and for the full year. For the full year, revenues increased 39% to $179 million, with each of our segments reaching a new high. Adjusting for the impact of the Energy acquisition to 2010, revenue growth was 33%. Adjusted EBITDA grew faster 49% to $77.6 million, or 39% pro forma for the Energy acquisition.
 Net income increased 80% to $34 million, resulting in diluted earnings per share of $0.49. That's record performance across the board and our strategy is clear and consistent, efficient recruiting of highly skilled professionals. It works for our customers, our employees and our shareholders.
 So let's turn to our initial look at 2012, and frankly this is one of the toughest years of forecast since I joined in 2000. We have been in better environments and we certainly have been in worse environments, but this is one where there are sufficient buried signals. In Tech, the urgency to recruit is slightly less, but the vertical is still strong. Finance is clearly down from where it was in the first half of 2011, but the activity levels aren't like 2008 or '09. Energy is really good. We have a great short-term and long-term opportunity, which we need to pursue while we're building out the infrastructure of the business.
 On the summary level, what you see in this year's forecast is an assumption of slower rate of growth or different across the segments, while continuing to work on the strategic investment initiatives that we started in 2010 and pursued through 2011. 
 With that as the backdrop, let's look at where we expect to be, first for the year and then for Q1. We currently expect revenue of $197 million, up 10% over 2011, with Tech & Clearance up 15%, Energy up 39% and an expected decline in Finance of 12%. On the cost side, we'll continue our investment in sales, marketing and product development, with anticipated cash operating costs, which are operating expenses less depreciation, amortization and stock-based comp, to be up 15% year-over-year.
 From an individual line items standpoint, directionally, you can expect that sales and marketing, which was 33% of revenue in 2011, will be a slightly higher percentage in 2012. Product development will be about 50% higher than the level in 2011, and the rest will be just slightly higher. That equates to an EBITDA margin of 41% within our long-term target of 40% to 45%. 
 Moving further down the income statement. Amortization expense will be lower in 2012 and stock-based comp will be approximately $5.5 million, so net income is expected to be around $39 million. And we expect CapEx this year to be in the $6 million to $7 million range, down slightly from 2011. Looking at the first quarter, we anticipate revenues of $46 million, EBITDA of $16.5 million or 36% of revenue and net income of about $7 million. 
 We just finished a pretty great year for the company and are continuing to invest to drive our opportunities. As always, we will be very proactive in managing our business to deal with these uneven conditions. We'll continue to deploy cash. Our cash to create more market opportunity via acquisitions and to return shareholders' capital.
 So with that, I'll turn it back to Scot. 
Scot Melland: Thank you, Mike. As you can see, 2011 was a very successful year for our company. We grew our customer base and professional communities around the world. We upgraded our services, launching new content areas, mobile applications and we delivered record revenue in profitability. 
 So as Mike mentioned, what can you expect from us in 2012? First, we will remain focused on penetrating the customer opportunity in our core technology and financial recruiting businesses. We'll continue to invest in our products, adding more content, social features and functionality, and we will continue to expand our global Energy business. It's going to be another great year for our company.
 So thank you all for listening, and let's open up the call for some questions. 
Operator: [Operator Instructions] And your first question comes from the line of Craig Huber with Huber Research Partners. 
Craig Huber: The question for you first, I'm not being critical here at all. Some of your other peers have a very difficult time forecasting their own outlook. You guys have done a very nice job historically, generally been pretty conservative. One thing, a year ago, I do recall your product development outlook for your cost was to double it in 2011. And as we've talked on the past, it looked like it was up for the full year, it was all said and done about 53%, so you guys are overly conservative there. Can you talk a little bit about that? But along the same lines more importantly for your cost for 2012 that your guidance you guys just briefly gave, talk a little bit more about that, where your comfort level is and what your cost outlook is for 2012. Trying to get a sense if you think there's a lot of wiggle room there. You've been overly conservative there. 
Scot Melland: Okay. Sure, Craig. So I think first on the product development over the past year, what you're really seeing as we now enter 2012 is a continuation of what we started to do in 2011. You're right in what you mentioned about we didn't get to all of the projects, we didn't get all the things done that we wanted to do. We've got quite a few done. We've got the talent community finished, we got the new blog network out, we got the mobile apps done, we got a refresh on Dice, we got a new back-end infrastructure for eFC. So there's a lot of accomplishment in there. But quite frankly, there were a few other things we wanted to get to. We're getting to them this year and we're pretty excited about what it's going to be. So probably more to come on that in future quarters. 
Michael Durney: And I think just to add to that, we said last year that we would initiate a bunch of things, and timing would be somewhat of a driver where we end up on a year-over-year basis. So you're right, we're up about 53%. We would expect roughly the same this year. Some of them started later and have rolled into 2012, and we have some other new initiatives, including in Energy and some other projects we're working on. I think from where we see the cost structure, we've always been flexible up or down. We continue to view it the same way. But the nature of our business is we think we have opportunity and we continue to pursue it. 
Craig Huber: And you could talk further, if you would, about the sales and marketing line for 2012. You mentioned you thought it would be up from 33% of revenue in 2011. Can you put a little more meat on the bones, if you will, for 2012, how much higher than 33%? Are we talking about 34% or meaningfully higher than that? 
Michael Durney: No, I would say it's in the range of 34%, 35%. If you remember, our historical average used to be 35% to 40%, and we started to shift some dollars away from marketing is the general statement. Marketing towards product development because we thought we could generate activity levels on the side to product development, I think that's been the case. So I wouldn't see us back in the 35% to 40% range other than maybe touching 35%, so just incrementally higher than the 33%. 
Scot Melland: Yes. And I think the only thing I would add there is I think you know that historically what we've done is, and we did this at the end of 2009, beginning of 2010, as we said, look, we saw opportunity in the market so we're going to spend to go after that opportunity. When you look at sales and marketing going into 2012, we're hiring salespeople. We're expanding that sales group around the world, especially in some of our development businesses like Energy and Healthcare. 
Operator: And your next question comes from the line of Jim Janesky with Avondale. 
James Janesky: Scot and Michael, in the past, you have talked about where -- at different points in the cycle, where you spend your sales and marketing dollars. Sometimes it's on the seeker, sometimes it's -- and you pulled back on that when, during a time when unemployment in -- within the tech space, for example, was very high and even in finance and accounting. Where are we in the cycle with incremental dollars, if we could dig into that a little bit more in 2012? 
Scot Melland: Well, I think, Jim, it varies based upon which of our businesses you're talking about. When you take -- let's take a look at Energy, for example. We're really building out that business globally. The marketing spend there is really to build up that user base on a global basis. I mentioned in my comments that we've made great progress with Rigzone, with unique visitors up 50% and the huge increase in that global résumé days [ph] for talent pool. So that business has tremendous opportunity for us. So it's not really a cyclical thing that we're investing. We're investing now to really just go after that business. When you take a look at Dice for a second, we have a tight labor market. This is not a situation where -- we're not sitting here today saying that we think Tech is trailing off. In fact, just the opposite. We think we've got a very strong tech market. What's interesting about that tech market, though, is that the turnover hasn't really started. And so part of what we're spending on is to activate the base that we have today to really have great results for the increase in recruiting activity we see coming in 2012. So it's not, again, sort of like a cyclical spend or anything like that. And then in eFinancialCareers, you have a little bit less recruiting activity going on there. I think, as everybody knows and realizes, we are spending there in a lot of our smaller markets, especially in development markets because we see the opportunity to continue to build that brand in this uncertain time. So all of the spend here is really in anticipation of future growth rather than playing the cycle, if you will. 
James Janesky: Okay. Mike, as a follow-up question to your comment about this was a very difficult year to give guidance. I can appreciate that. So -- but you have pretty good visibility, of course, one quarter out. Can you tell us what -- how you approach the second, third and fourth quarter, combined, to come up with annual guidance? 
Michael Durney: Yes. We go through the same process we always go through, which is look at customer acquisition opportunity, renewal rates and other metrics that we use internally for each of the businesses and may vary slightly across the businesses. And we did the same thing we always do. I think the emphasis on how difficult it is, is because it is varied, as I pointed out when I gave the view across each of the segments. In times when it's really poor, I think a lot of people like to say they can't give guidance because it's too hard, I think we've always felt we could give guidance. We just give our best estimate. This one is tough because it varies across the segments for the first time since I've been here. 
James Janesky: Okay. But you -- do I read into that, that you're not expecting significant improvement in the ones especially that were weak, such as eFinancialCareers, as the year progresses it's more status quo? Would that be accurate? 
Michael Durney: Yes. I think, Jim, the answer to that is I think we expect what's reflected in what we said. And when it changes, we'll let everybody know. I don't think that's any different than any other time. We've been always quite crystal clear in saying this is what we expect now. It could be better. It could be worse. I think it's -- reflects what we think today in a pattern that we've done for years, from a product standpoint. 
Operator: And your next question comes from the line of Tim McHugh with William Blair. 
Timothy McHugh: Yes. First, maybe on the product side. Can you give us some more details on maybe some of the things you're spending on? Is it focused on any individuals, verticals more so than others? 
Scot Melland: Sure. Sure. So the -- where a lot of the product development spend, as I mentioned earlier, it's a continuation of what we really started in 2011. It's going to go, really, to 3 different areas. The first is better search and match. So fundamentally, that technology is something that we want to improve on a regular basis. Because if we can make that search and match better across all of our sites, we're going to have more productivity and more satisfaction amongst our users. And so the way that manifests itself is basically in better search results and better metrics for our business. Second area is really content and services. We're -- I mentioned earlier that part of our strategic goal here is to make our services much more meaningful and useful in our users' day-to-day work lives. We've done a great job -- or I should say, Rigzone and the Energy group has done a great job in getting far down that path. We're bringing the other services to that same goal, and you can see it in the blog network on Dice. You can see it in the content on eFC, and now you can see it in the talent communities that we just launched on Dice. So more content, more interaction with the community that creates value for them on a day-to-day basis. And then finally, we will see more social features. We added some social features this year. The Talent Network start to have more social interaction. The Cleared Network on ClearanceJobs is the same thing. What you'll see is expansion of those types of features this year. 
Michael Durney: And Timothy, honestly, the only thing I would add back on Energy, I think Scot mentioned this earlier, we literally just finished the cutover from WorldwideWorker to combine into RigZone last week. We spent a lot of time in Energy trying to put those 2 together. We've now accomplished it in phase 1. One of the things we've learned from the process is that there's all kinds of opportunity for us to pursue in the Energy business domestically and worldwide. And so phase 2 and phase 3 are going to be pretty significant initiatives for us, and we're looking forward to getting them started. 
Timothy McHugh: Okay. And then I guess just following up on that, the search improvement. I mean, is this reorganizing the data? Are you going down a significant process of changing the algorithms, if you will, and underlying thought process? Just trying to get a sense relative to maybe what Monster has gone through the last few years and how you maybe compare it competitively to what you're trying to change. 
Scot Melland: Sure. As you know, if we take Dice, for example, we have -- one of the advantages we've had in our service all along is that we have profile information given to us by the users, which allows us to have a much more detailed search and search -- set of search results. What we've started to do this year, and you actually can see it if you go in and search for jobs on Dice, as we started to -- it's in -- it's essentially better parsing and categorization of a lot of our data that sits behind both the job descriptions and the people's resumes. And so if you go search for -- we can be much more suggestive to our users in terms of if they see one thing that they like, we can suggest other things. And then the search itself is much more tighter, so you're going to see better relevancy along the way. 
Timothy McHugh: Okay. And then I guess just to follow-up, I guess, on the question that -- I think it was an earlier question, on what you're assuming across the years. Mike, it seems like the financial services segment -- the guidance implies Q1 is kind of a low point for revenue across the year. Is that just based on the normal seasonal activity, or is that assuming better sales across the rest of the year? 
Michael Durney: It is -- that is the normal seasonal pattern. We do renew a number of our bigger accounts in January and February, which we've started to do, and that's reflected in the guidance. It also -- there is a small assumption that some of the newer markets continue to grow off a relatively small base, but that's embedded in there, too. 
Timothy McHugh: Okay. And then I guess one last one, just getting back to the product changes. Can -- given the competitive questions that are always out there, can you address how much of this is feedback from customers? And in the sense, is it a response to opportunities, or is it kind of a competitive threat and kind of more of a defensive move? It sounds like it's more of the opportunity, but just kind of talk about that if you could. 
Scot Melland: I think it's really 2 things. It's making our services just in and of themselves much more productive, and so we have great -- we have very nice sized communities. They're growing. We want to make sure that the experience that they have is the best possible experience. So a lot of the better search and match is targeted towards that. The rest is opportunistic. Technology continues to move up -- move along. And as you know, there's a lot more information out there about people, and recruiting is taking advantage of that information that's publicly available. And so that's an opportunity for us to add more value to our services. So we're -- what we see is we see an opportunity to add another layer of value onto our services, and that's where we're at. 
Operator: Your next question comes from the line of Bill Sutherland with Northland Capital. 
William Sutherland: Mike, you mentioned you're going to be doing additional work on RigZone and the combined site. Can you talk a little bit more about that and then maybe what the mix of business for the Energy segment might look like as we get towards the end of this year and into next year? 
Michael Durney: Sure. So there are some features and functionality that we think can improve the RigZone experience across the board. So we want to make improvements in the data services business, Rig Logix. So that's one area. We want to increase the ability to deliver content and have various forms of content, which, right now, the site is limited in terms of the types of content that we can host and deliver. One of the things that we plan to do is regionalize RigZone across the world and have a number of different regional additions. While we do a decent job of covering news and information around the world, it's delivered as one site, as you know, from looking at it. And on the Career Center, it's now part of a group that has 4 other businesses. And we want to deploy the best ideas that Dice eFinancialCareers and the other sites have, and we expect to do that. So there are a number of things that we wanted to do, and we've been heads-down over the last 4 to 6 months or so solely focused on integrating the 2 sites. From what the business will look like, we expect the Career Center to continue to grow. So today, it's slightly more than 50% of the business is Career Center. Roughly 1/4 of the business is advertising, and then the events business and the data services businesses are roughly 10% each, using rounded numbers. I would expect Career Center will continue to grow at a higher rate than the others. Our expectation is advertising and various forms of media will grow, maybe not in the short-term because we need to get the regional sites up. We need to get the other delivery methods up and the other types of content up in order to drive usage. But I would expect, as we exit 2012 and 2013, the Career Center will be some number of points higher. Events, by their nature, are limited, but we're doing some other things in terms of unique events this year, later this year. So I would say advertising will stay roughly the same. Career Center will grow, and the others will be slightly lower, smaller. 
William Sutherland: Great. The other question I had was pricing, particularly in the eFinancial markets and how that's looking as you go into renewals as well as new sales. 
Scot Melland: Well, as you know, eFinancialCareers is a premium-priced product both to our -- there are other services that we offer, as well as 2 other competitive services that are in the market. No change in the pricing of eFinancialCareers. There's -- as you know, anytime we've ever faced a slower-demand environment, we've always been, I think, very disciplined in our pricing. And the reason is that when these services -- when there is a need for the service, the service delivers very high value, and so that value should be reflected in the price. And so there'd be no reason for us, really, to change. 
Operator: And your next question comes from the line of John Blackledge with Credit Suisse.
 And your next question comes from the line of Youssef Squali with Jefferies. 
Youssef Squali: Couple of questions, please. Mike, the first question is really just a clarification on something you referred to during your prepared remarks. I think you said the company has more customers today than back in September. So that basically means that you've already added about 150 recruiting package customers so far in January? 
Michael Durney: Yes. We've added more than 150. 
Youssef Squali: Okay, okay. And I guess on Q1 EBITDA margin of 36%. We literally had to go back to like Q1 of 2007 to get to a 36%, 37% level. In fact, even during the 2009 recession, when the revs were down, your margin still held up pretty nicely. So just trying to get a sense of what's causing the big drop, maybe if you can just quantify the investments because you have spoken about a number of initiatives there. And is any of the costs front-end loaded, and is that what's kind of causing it? 
Michael Durney: Yes. I would say 2 things -- I'll address the second piece first and then I'll come back to where we are. It's not that it's front-end loaded. I think it speaks to the fact that we continue on a path of investing in each of the brands, and we're not scaling back. So initiatives we started early in 2011 or later in 2011 continue on. So some of that is timing, certainly, marketing, we do less in Q4, and we do more in Q1. That's been our historical pattern. So I wouldn't say it's front-end loaded as much as it's -- some of it just happens in Q1, but it is a continuation of where we were. I think 36% is lower. I think last year or the year before was 37%. So in context on $40 million of -- $40-plus million of revenue, it's a couple of hundred thousand dollars that swings. So it's certainly not a significant or material variation from what we've done before. 
Youssef Squali: Is it possible to kind of separate the increased investment versus maybe just the impacts of negative leverage, meaning just not having this much revenues in Q1 as you had may have thought you would just maybe 3 or 6 months ago? 
Michael Durney: I don't think so. I could try, but I don't think so. We have a series of initiatives, and we pursue them. I'm not sure there's a bright line that separates those 2. 
Youssef Squali: Okay. And Scot, I was wondering if you maybe can just talk broadly about the competitive environment and maybe the level of promotional activity that you're -- that you've seen in the last quarter, and is it more, is it less, and kind of what's baked into your expectations for the rest of the year, not just for eFC, but just for -- mostly for the tech sector, actually. 
Scot Melland: Okay, sure. Sure. So competitively the environment really has not changed. We continue to see some of the large horizontals duke it out with one another for their market share within customers. And I think that's the -- probably the biggest thing that's really going on competitively. As far as promotional activity, there's a little bit more, I would say, promotional activity out of some of the players in the market. But certainly, it's not at the level that we saw in 2009 and coming into 2010. So really, really not much of a change there, and that's true, actually, across all of our verticals. 
Operator: And your next question comes from the line of Doug Arthur with Evercore. 
Douglas Arthur: Mike, just a clarification on the outlook for Finance. And I realize things can change quickly, but in terms of the low point for the business, based on the numbers you're giving out on projections, it looks like, on a year-over-year basis, you look for -- and you have some tough comps for year-over-year deterioration until about the third quarter and then some kind of leveling out in the fourth quarter. I mean, I realize it's foggy right now, but is that fair? Things will deteriorate for a couple of quarters before perhaps getting a little bit better? 
Michael Durney: Yes. I think you -- that might be fair. There might be a degree of specificity in the assumptions that maybe goes deeper than guidance. So what we do is give a revenue number and then give a percentage for -- to give -- to guide people to where we might be. There are some things that happened in that business. We published a periodical, careers in financial markets and other assorted titles, in the third quarter, which has an impact, seasonal impact. There are some other seasonal changes. I honestly wouldn't think too much about the distinction between Q3 and Q4. What I said earlier was we do renew a number of our larger customers in the January and February timeframe, good number of them still left to happen in February. And so we have a pretty decent view of their needs. We do have a pattern over the last 12 months leading into this year on some of the newer markets. Again, they're very small, but they do have an impact in growth when the rest of the business is steady, and we expect them to perform at higher levels later this year. So I'm not sure. Right now, I've actually addressed specifically, Doug, what your question was, but I think there's a level of specificity in Q3 and Q4 that we haven't really guided to. 
Douglas Arthur: Yes. I think the main thing I'm getting at is that, obviously, you had some momentum in the sector going in to year-end. That's obviously flattening out and turning negative. But the negative year-over-year comps look like they'll worsen early in the year, and then we'll see what happens in the second half. 
Michael Durney: Yes. That, I think, is fair. Yes, and that does reflect, as we said several times, late 2010 -- second half of 2010, first half of 2011, were really strong for that business. In July, we said we thought it would ebb, it did. And then it got worse, as it did for a lot of people. And so I think from a pure comp standpoint, I think you're right. 
Operator: And your next question comes from the line of Jordan Rohan with Stifel. 
 [Operator Instructions] And your next question comes from the line of Craig Huber with Huber Research Partners. 
Craig Huber: Yes. As a follow-up questions here, please. Your guidance for 2012 is a revenue guidance of up to 10%. What are you thinking at right now of the overall market will grow in the U.S. but also on a global basis? 
Scot Melland: So on the global basis, I think you're -- we're probably looking at a mid- to higher single-digit growth this year. It's a little difficult because of some of the uncertainty in some of the markets. But that's probably a guess that we're operating under. And then in the U.S., sort of mid-single-digit growth. 
Craig Huber: Okay. And then just back on this marketing promotion question. Just talk a little bit further about that, if you would, in the -- for what you're planning on doing there on that spend in the first quarter. 
Scot Melland: I'm sorry, this is on the marketing side? 
Craig Huber: Yes, exactly. 
Scot Melland: Yes. Normally in the first quarter, as Mike mentioned a little bit earlier, we do spend more in marketing in the first quarter because customers are in buying mode again. And so what you'll see is you'll see more online advertising from us, more direct mail, more direct e-mail. Also, it tends to be a quarter where we tend to experiment with some new marketing that we might be trying. We might be doing radio. We might be doing some other new things that we're going with. So essentially, it's really just a little bit more marketing on the customer side and a little bit more marketing on the seeker side, because everyone is coming back essentially from vacation and they're in active mode again, and we want to grab them while they're active. 
Craig Huber: On a year-over-year basis, you're expecting a significant ramp-up in the first quarter, much more so than the back 3 quarters of the year, for sales and marketing? 
Scot Melland: I think first quarter definitely has a bump in it. 
Craig Huber: On the year-over-year basis, more so than any other quarters, you're saying? 
Michael Durney: Probably not. 
Scot Melland: Not too different. 
Craig Huber: Okay. And then lastly, just a housekeeping question. What were those basic shares outstanding at the end of the first quarter, please? 
Michael Durney: 65 million. 
Operator: And your next question comes from the line of Tim McHugh with William Blair. 
Timothy McHugh: I just have one follow-up. I was going to ask, just last quarter, there -- you gave there I guess the commentary, partly in response to comments you -- one of your competitors made about seeing a big slowdown in late in Q3 and kind of September and October. And I think your commentary was that you didn't see what they were describing, but you had seen a little bit of a slowdown in activity. I guess maybe just contrasting where you're at today, has that continued? Did it get better? Did it get worse? I guess at a high level, I guess, kind of -- if you can compare today to what you were saying 3 months ago. 
Scot Melland: Sure. Sure. So I think it's really -- the best way to look at that question is again by business or by sector. So if we take the Energy business, it continues to be a very strong, very strong globally and maybe -- may have even moved up a notch, if you will. And in terms of market environment. If you look at the eFinancialCareers business or financial services, it's been a continuing moderation there. And I think if you look at what's happened in financial services over the last quarter, probably not a lot of mystery there, that the companies involved and recruiters involved have slowed their activity. And then if you look at Tech, Tech basically the same. And I think what we mentioned last quarter was the change that we saw in Tech was it still -- I mean, this is still a very active recruiting market. I mean, just talk to anybody who's in -- involved in it, very active recruiting market. What has happened is that it's just much more of a "metro area by metro area" story, in that some areas are very hot, very tough to recruit in, very strong, and others are sort of less strong. And that's just a different environment to sell into than what we had in early 2011. So to -- again, to sort of bring you from last quarter up to this quarter, really no change in that environment. 
Operator: And at this time, there are no further questions in queue. 
Jennifer Bewley: Thank you, Caris, and thanks to everyone for their time this morning and interest in Dice Holdings. Management will be available to answer any follow-up questions that you have. Please call Investor Relations at (212) 448-4181 to be placed in the queue. 
 Have a good day. 
Operator: And ladies and gentlemen, that concludes today's conference. Thank you for your participation. You may now disconnect. Have a wonderful day.